Operator: Good morning, everyone. My name is Rocco, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the AAM's Fourth Quarter 2021 Earnings Conference Call.  As a reminder, today's conference call is being recorded. I would now like to turn the conference call over to Mr. David Lim, Head of Investor Relations. Please go ahead, Mr. Lim.
David Lim: Thank you, and good morning. I'd like to welcome everyone who is joining us on AAM's fourth quarter earnings call. Earlier this morning, we released our fourth quarter of 2021 earnings announcement. You can access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR newswire services. You can also find supplemental slides for this conference call on the Investor page of our website as well. To listen to a replay of this call, you can dial 1877-344-7529, replay access code 7323464. This replay will be available beginning at 1:00 p.m. today through February 18. Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements subject to risks and uncertainties, which cannot be predicted or quantified and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also, during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of these non-GAAP measures to GAAP financial information is available on our website. With that, let me turn things over to AAM's Chairman and CEO, David Dauch.
David Dauch: Thank you, David, and good morning, everyone. Thank you for joining us today to discuss AAM's financial results for the fourth quarter and full year of 2021. Joining me on the call today are Mike Simonte, AAM's President and Chris May, AAM's Vice President and Chief Financial Officer. Begin my comments today, I'll review the highlights of our fourth quarter and full year 2021 financial performance. Next, I'll cover how we are pivoting to electrification while securing our core business. Lastly, I'll discuss our 2022 financial outlook and our three-year new business backlog before turning things over to Chris. After Chris covers the details of our financial results, we will open up the call for any questions that you may have. So let's begin. AAM delivered solid operating results and cash flow performance in the fourth quarter and full year 2021. Despite market dynamics and continuing challenges with a global supply chain. Fortunately, our team did an outstanding job managing the areas under their control. AAM's fourth quarter 2021 sales were 1.24 billion, and for the full year 2021, AAM's sales were approximately 5.2 billion. In 2021, we experienced volume recovery from the impact of the 2020 global pandemic. But semiconductors supply chain shortages impacted AAM by over $600 million. From a profitability perspective AAM's adjusted EBITDA in the fourth quarter of 2021 was 164.6 million or 13.3% of sales. For the full year of 2021, AAM's adjusted EBITDA was 833.3 million, or 16.2% of sales. In 2021, we were negatively impacted by supply chain disruptions, namely semiconductors, and we received very little forewarning to changes in production schedules, which disrupted our operations and cost structure. However, I'm proud to say the AAM team managed through these obstacles and delivered strong EBITDA margins and conversion for the full year. AAM's adjusted earnings per share in the fourth quarter 2021 was a loss of $0.09 per share. For the full year 2021 AAM's adjusted EPS was $0.93 per share compared to $0.14 per share in 2020. AAM continued to deliver strong free cash flow generation in 2021. AAM's adjusted free cash flow in the fourth quarter of 2021 was 43.6 million and for the full year 2021, AAM's adjusted free cash flow was $423 million. This is a record adjusted free cash flow performance for AAM, I'm extremely proud of my team. Our goal has been to strengthen the balance sheet last year we delivered. We reduced our gross debt by approximately 350 million and a turn of leverage. We will continue to work to improve our balance sheet strength going forward. Chris will provide additional information regarding the details of our financial results in just a few minutes. Let me talk about some key highlights for 2021 and the start of 2022, which you can see on Slide four and five of our slide deck. We secured an agreement with REE on electric drive units. We are named the sole supplier front and rear pickup axles for GM's Oshawa truck plant. We won two new PACE awards for our partnership and innovation for our Electric Driveline Technology. We secured NIO differential business for their electric vehicles. We were selected to supply track right differentials for the new GM Hummer EV program. We are supplying PTUs for the All-New Ford Bronco Sport and Maverick programs. We secured traditional core axle business, defined our electrification future. We are selected as a GM overdrive award winner and received multiple other customer awards for our performance. And we advanced our environmental sustainability in DEI initiatives and just most recently here in the beginning of the year, AAM was recognized as one of America's best large employers, and top five in the automotive category. Now let's talk about the first pillar of our two-prong strategy which is securing the core which is fundamental to our transformation to electrification. And earlier today, we announced AAM has secured multiple next generation full size truck axle programs with global OEM customers, with lifetime sales valued at greater than $10 billion. These replacement business awards are key developments as we leverage the cash flow generation to bring the future faster with our electrification technologies. And on the electrification front, we continue to make significant progress with our 3-in-1 electric drive technology. Recently, we displayed our electric drive technology at CES. The power intensity and compactness of our proprietary design was very well received. The technology platform can accommodate the electric propulsion needs across all light vehicle segments from small cars to light commercial applications. The flexibility and modularity provide legacy and start up OEMs with many options from components, gearboxes, motors, power electronics, to full systems and e-beam axles. Our design was recently given the Altair Enlighten award, the automotive industry's only award dedicated to lightweighting and sustainability. Again, something we're very proud of. That said 2022 is an exciting year with multiple expectation launches on top of us, including our high-performance edrive system for a premium luxury European OEM. This system will be applied across multiple vehicle variants, proof that our technology is not only state-of-the-art but meet the high standards of this iconic manufacturer. We will also be launching multiple electric propulsion components with several Global OEMs this year. In addition, we recently announced our investment in Autotech ventures which is in early stage venture capital firm. This firm invests globally in mobility startups and AAM is leveraging the relationship with Autotech to identify new opportunities with companies aimed at electrification and mobility. The pivotal advocation is well underway and we embrace this change to make the environment more sustainable. Our engineering teams continue to develop game changing electric mobility solutions and AAM is well-positioned to support our customers with cutting edge technology and a strong value proposition. And on the ESG front, I'm also very happy to share that AAM was named to Newsweek's list of America's most responsible companies. We look forward to building on that positive momentum in 2022 as we advance our environmental sustainability and DEI initiatives. Be on the lookout for our new sustainability report in April of this year. At AAM we believe in a strong ESG foundation and commitment are critical to running the business for long term success. Before I turn it over to Chris, let me cover AAM's three-year new business backlog and our 2022 financial full year outlook, which we included in our press release earlier this morning. AAM expects our gross new business backlog covering three-year period of 2022 through 2024 to be approximately $700 million. We expect the launch cadence to this backlog to be 175 million in 2022, 325 million in 2023 and 200 million in 2024. And as usual, our backlog factors in the impact of updated customer launch timing and our latest customer volume expectations and does not include the replacement business only new and incremental business. You can also see the backlog breakdown on Slide six, with about 55% of this new business backlog relates to global light trucks, including crossover vehicles, and most importantly, 35% stems from electrification, this is more than double than the 15% last year that we had. Our approach to electrification, from selling components and subsystems to full electric drive units, is gaining traction in our book of business. Currently, AAM is quoting on approximately 1.5 billion in revenue, with two-thirds of the quotes coming from electrification based programs. Now, let me turn to our financial outlook, which you can see on Slide seven, and AAM is targeting sales in the range of 5.6 billion to 5.9 billion, adjusted EBITDA of approximately 800 million to 875 million, adjusted free cash flow of approximately 300 million to 375 million, and that assumes our capital spending in the range of 3.5% to 4% of sales. From a launch standpoint, we have 25 launches here in 2022, which should drive growth over the next several years. From an end market perspective, we forecast production at approximately 14.8 to 15.2 million units for our primary North American market. This represents about a 14% to 17% increase over last year's performance. Going forward and improving production environment stemming from strong demand and inventory replenishment, we will set up AAM nicely for the future. In summary, 2021 was an unprecedent year filled with numerous challenges, but AAM delivered solid financial results. In 2022 and beyond, we will continue to focus on securing our core business, generating strong free cash flow, strengthening our balance sheet, advancing our electrification portfolio and position AAM for profitable growth. I'm very excited about what lies ahead for AAM. That concludes my remarks. Let me now turn the call over to our Vice President and Chief Financial Officer, Chris May. Chris?
Chris May: Thank you, David and good morning everyone. I will cover the financial details of our fourth quarter and full year 2021 results with you today. I will also refer to the earnings of slide deck as part of my prepared comments. Before I begin to discuss the specific details, let me provide a macro overview of our fourth quarter. On the surface, you will note our sales were down nearly $200 million on a year-over-year basis. However, understanding the factors driving this change is crucial. AAM's product sales were down more than $300 million on a year-over-year basis due to semiconductor shortages and overall market dynamics. Partially offsetting the drop in product sales was $100 million increase in index-related metal market costs that we pass through to our customers at no margin. As we talk through the details today, keep in mind that metal market pass through has a significant adverse impact on the calculation of our margins. However, results said and done, you'll take away three key points about a fourth quarter results. First, AAM sales and profits were impacted by lower industry volumes, two, AAMs margins were impacted not just by lower sales, but also by rising metal market pass through recoveries, and three, and most importantly, we continue to perform and optimize our business despite macro level headwinds. So let's go ahead and get started with sales. On Slide 10, shows a walk down on the fourth quarter 2020 sales to the fourth quarter of 2021 sales. In the first quarter of 2020, AAM sales were 1.24 billion compared to 1.44 billion in the fourth quarter of 2020. We had to make that AAM was unfavorably impacted by the industry wide semiconductor shortage by approximately 137 million in the fourth quarter of 2021. We note that high production volatility experienced in the third quarter continued well into October. Although volatility improved some in November and December on a month-over-month basis, we still experienced short lead time production changes from our customers and reduced output. Other AAM mix and pricing was negative by 200 million. Overall, we experienced some lower global light truck volumes and lower overall component sales in several markets as customer schedules fluctuated and they rebalanced inventories versus a very different environment than we experienced in the prior year. This brings us to the fourth quarter 2021 sales subtotal which excludes recoveries for index related metal market costs and foreign currency impacts. We hedged this risk with our customers by passing through the majority but not all of these index related changes. The metal portion of this column reflects these elevated pass throughs on a year-over-year basis. Metal markets and foreign currency accounted for an increase of approximately $94 million to our total sales in the quarter. For the full year of 2021, AAM sales were 5.16 billion as compared to the 4.71 billion for the full year of 2020. The primary drivers of the increase was a return of COVID-related volumes, an increase of over $300 million in index related metal market pass throughs and foreign currency, partially offset by volumes loss due to semiconductor chip shortages that exceeded $600 million for 2021. Now, let's move on to profitability. Gross profit was $140 million, or 11.3% of sales in the fourth quarter of 2021 compared to 237 million or 16.4% of sales in the fourth quarter of 2020. Adjusted EBITDA was 165 million in the fourth quarter of 2021, or 13.3% of sales. This compares to 262 million in the fourth quarter of 2020, or 18.2% of sales. You can see a year-over-year walk down of adjusted EBITDA on Slide 11. During the quarter, semiconductor sales disruptions and other volume mix had a negative impact of $39 million and $59 million respectively. This was partially offset by the benefits of AMM continued productivity and restructuring programs and successful recoveries in some ED&D costs. As I just mentioned earlier in our sales discussion, we are facing year-over-year increases in index related metal market costs, retained portion impacting this quarter plus FX is approximately $30 million. You can see in our EBITDA walk, the dynamic this had on our EBITDA margin calculations. If you exclude this impact, our margins would have been meaningfully higher is not going to  . For the full year of 2021 and adjusted EBITDA was $833 million, adjusted EBITDA margin is 16.2% of sales. Now I will cover SG&A. SG&A expense, including R&D in the fourth quarter of 2021 was $78 million, or 6.3% of sales. This compares to $83 million in the fourth quarter of 2020 or 5.8% of sales. AAM's R&D spending in the fourth quarter of 2021 was approximately $20 million, compared to $31 million in the fourth quarter of 2020. The fourth quarter of 2021 includes higher ED&D recoveries as we prepare to launch multiple key new programs. This activity drove a significant portion of the net year-over-year reduction in R&D. As we head into 2022, we will continue to focus on controlling our SG&A costs, while also capitalizing on the growing number of electrification opportunities that are before us. And we would expect R&D to increase in 2022 by approximately $45 million to support these new multiple and new opportunities. This is in line with our previous R&D spend trajectory commentary. Let's move on to interest, taxes and pensions. Net interest expense was $42 million in the quarter of 2021, compared to $50 million in the fourth quarter of 2020. We expect this favorable trend to continue in 2022 as we benefit from our debt reduction and refinancing actions. In the fourth quarter of 2021, we recorded an income tax benefit of 2.3 million compared to an expense of 13.9 million in the fourth quarter of 2020. As we head into 2022, we expect our adjusted effective tax rate to be approximately 15% to 20%. And lastly during the fourth quarter AAM completed the transfer of nearly $100 million of pension obligations to an insurance company. This transaction was paid entirely through pension plan assets and continues our journey to strengthen AAM's balance sheet in this area. As a result of this transaction, AAM recorded a non-cash pre tax pension settlement charge of $42 million. Taking all these aforementioned items into account, including the pension settlement charge, our GAAP net loss was $46 million, or $0.41 per share in fourth quarter 2021 compared to an income of 36 million or $0.30 per share in the fourth quarter of 2020. Adjusted earnings per share excludes the impact of the items noted in our earnings press release. Adjusted loss per share for the fourth quarter of 2021 was $0.09 compared to $0.51 earnings per share in the fourth quarter of 2020. For the full year of 2021, AAM earned adjusted earnings per share of $0.93 versus $0.14 cents in 2020. Let's now move on to cash flow and the balance sheet. Net cash provided by operating activities for the fourth quarter of 2021 was $102 million. Capital expenditures net proceeds from the sale of property plant and equipment in the fourth quarter was $65 million and cash payments for restructuring and acquisition-related activity for the fourth quarter of 2021 were $9.8 million. Reflecting the impact of these activities AAM generated adjusted free cash flow of $44 million in the fourth quarter of 2021. For the full year of 2021, AAM generated adjusted free cash flow of $423 million compared to $311 million in the full year of 2020. As David mentioned, this is a record for AAM. As a team, we've been focused on free cash flow conversion, including tightly managing CapEx, and reducing restructuring charges. Our results demonstrate success in these areas. From a debt leverage perspective, we ended the year with net debt of 2.6 billion and LTM adjusted EBITDA of $333 million, calculating a net leverage ratio of 3.1 times to December 31. This is a reduction in nearly a full turn of leverage in 2021. In 2021, we prepaid over $350 million of gross debt. We utilized the free cash flow generating power of AAM strengthen the balance sheet by reducing our debt and lowering our future interest payments. AAM ended 2021 total available liquidity of approximately $1.5 billion consisting of available cash and borrowing capacity, on AAM’s global credit facilities. And we continue to maintain a strong liquidity position and debt maturity profile. Before we move into the Q&A, let me close my comments with some thoughts on our 2022 financial outlook. In our earnings slide deck, we have put in watch from 2021 actual results to our 2022 financial targets. You can see those starting on Slide 13. As for sales, we are targeting the range of 5.6 billion to 5.9 billion for 2022. The sales target is based upon North American production estimates of 14.8 million to 15.2 million units. New business backlog launches of $175 million and attrition of approximately 100 million. Given the market volatility, our sales guidance assumes a range of semiconductor recovery of approximately 1/3rd at the low end and 2/3rds at the high end versus what we experienced in 2021. We continue to experience this issue in January and February of this year. However, we do expect improvements throughout the year. In addition, on a year-over-year basis, we expect to continue to increase in index related metal market currency and foreign currency. As noted in our fourth quarter walks, the 2021 exit rate on a year-over-year basis was the highest for the year. Our guidance is based on current trends. From EBITDA perspective, we're expecting adjusted EBITA in a range of $800 million to $875 million. As I would expect, you may ask some questions in this area. Let me provide some very direct comments on the key elements of our year-over-year EBITDA walk. First, yes, we expect to convert our year-over-year product sales increases at expected contribution margins of approximately 25% to 30% as shown on our year-over-year walk. Two, yes, we intend to invest in our future through more in R&D as we continue to have growth opportunities with a variety of customers and products and yes, we are experiencing inflation. By way of perspective, this net amount reflected on our walk represents only slightly more than 1% of our annual purchase component buy and lastly, we expect AAM to continue to deliver operational productivity to mitigate some of these costs, as well as offset for cost pressures we're experiencing inside of our own operations. You can see continued year-over-year performance on our walk nearly $35 million. From an adjusted free cash flow perspective, we are targeting approximately $300 million to $375 million in 2022. And the main factors driving our cash flow change are as follows. We have slightly higher capital expenditures as we are coming upon since we launched. However, our CapEx to sales ratio is still very low by our historical measures as we are targeting CapEx as a percentage sales of approximately 3.5% to 4%. We also expect higher taxes and we would expect working capital outflows as our sales and related activity are increasing year-over-year. And lastly, we estimate our restructuring payments to be in the range of $20 million to $30 million for 2022. This is a year-over-year reductions by nearly half of our cash restructuring payments from the prior year. We expect the U.S. free cash flow generated in 2022 to continue to reduce leverage and further solidify our position electrification and take advantage just select market opportunities to support growth. So in conclusion, the tenants of our business approach are already yielding results. As David mentioned, we've secured significant new awards with our legacy business with strong free cash flow potential. Our new train one electric drive platform and components are driving global interest as such our backlog electrification mix is now at 35%. And we generate strong free cash flow a company best in 2021 and we look to generate solid free cash flow in 2022, while ramping up new business launches to drive growth. We're looking forward to a great year for AAM and building value for all our stakeholders. Thank you for your time and participation on the call today. I'm going to stop here and turn the call back over to David so we can start the Q&A. David?
David Lim: Thank you, Chris and David, we have reserved some time to take questions. I would ask that you please limit your questions no more than two. So at this time, please feel free to proceed with any questions that you may have.
Operator:  Your first question today comes from John Murphy of Bank of America.
John Murphy: First question on your North American volume assumptions of 14% to 17% is a little bit higher than we were at and I think some folks are at. So I'm just curious, your comfort in that, but also, does that actually really matter that much when you're doing sort of a bottom up forecast on your specific programs. I’m just trying to gauge how a 14% to 17% seems kind of aggressive. But if you drop into your programs, when the mix has been pretty strong, and probably will continue to be, that might not be that aggressive. So just trying to gauge your thoughts there and how you're building that up?
ChrisMay: Yes, John. This is Chris. So you're exactly right in your comment, when we build our forecasts, we do a bottoms up approach, clearly very focused on select key platforms that drive our business, such as the General Motors full size truck, the Ram heavy duty, and a few other the key crossover platforms. But that production element that we use 14.8 to 15.2 does drive some of our component business, which we look to do. So what we're trying to signal here as well, we see a market estimates out there by third parties called 15.2. We certainly see some of the challenges in the early part of the year associated with delivering that semiconductors and otherwise. We wouldn't expect that to happen, what would be at the high-end of our ranges. So we do build some conservativism in associated with the macro market assumptions. But at the end of the day, it's a bottom up build by the specific platforms we support and a unique volumes associated with them.
John Murphy: Okay, that's helpful. And then, just a second question on Slide six on the backlog? I appreciate electrification is going up in 15% to 35% year-over-year in the backlog, so that's great. But if we think about sort of the cadence of that mix changing over time, I don't know if you have this breakdown for us right now. But how much would electrification be of your '23 and '24 backlog versus what it is in 2022? How much is this growing sequentially?
Chris May: Yes, John. We don't disclose the specific by year element. But what I would tell you, as you see the market transitioning more to electrification, our backlog is experiencing that same trend and dynamic it increases year-over-year-over-year.
John Murphy: So it would be fair to say probably '23 and '24, it's probably above 50% by the time we get up to 2024. And the quoting opportunities are much higher on EVs and anything else, as David mentioned, right?
David Dauch: Yes, clearly by the last year meaning '24, is some of these programs are starting to come online, we do have some significant launches in '23 that are a balance between electrification and also some of our traditional businesses as well. That concept will be more orientated towards '24. 
Operator: And our next question today comes from Ryan Brinkman at JPMorgan.
Ryan Brinkman: Hi, thanks for taking my question. I guess, it's surprising to me that your 2021 free cash flow yield is as high as 46% of today's market cap and your guidance for '22 suggests another year of I think, like 37%, free cash flow yield at the midpoint. And it's just interesting that you can generate the amount of cash that you do with the free cash conversion that you do. And consistently positive cash flow in years with vastly different macro and industry backdrops with, debt, repayments, mandatory payments, sort of pretty far out there and you can do all this without more of an impact on the share price. I think it suggests that investors suppose that the amount of cash flow you're generating is, I guess, not sustainable? What do you think are the primary contributing factors contributing to just this almost distressed level of FCF yield? Is it the transition to electrification, which you've highlighted as a positive? Or maybe the financial leverage, which I know you're focused on lowering? And I'm curious how you think about capital allocation in the context of this FCF yield? I mean, on the one hand, if leverage is the investor concern weighing on the multiple, which you trade then, allocation of free cash flow toward debt pay down, does seem appropriate. On the other hand, if the valuation is so disconnected, or if it's driven by doubts about electrification or something else that maybe suggest that share repurchase or a more balanced approach is maybe more warranted relative to being as focused on debt pay down as it happen.
David Dauch: So Ryan, there was a lot there, but let me try to comment, what I think I've heard and let Chris comment, this is David. We're very proud of what we've been able to do consistently year-over-year in regards to our free cash flow generation. We've only gotten stronger as a company over the last several years. We've used this crisis to really optimize our business and really focus on other things that we need to do in the business to generate that sustainable cash flow. Yes, we do feel we're going to continue to generate strong cash flow as we go forward here. And as you mentioned, it's a significant percentage of overall market cap, clearly the investors aren't recognizing the full potential performance of American Axle, when it comes to our EBITDA and our cash flow performance. The two things that are really impacting us that we hear in the marketplace is just our balance sheet. Yes, we knew we were levered. At same time, we took almost a full turn off of our leverage. This past year, we've demonstrated our commitment to strengthen that balance sheet, we're going to continue to focus on improving that balance sheet going forward. We don't see it being a problem in the future, okay, because of our strong resolve and our strong performance, not only what we've delivered, but what we will deliver going forward in the future, only the investors can make those decisions. The other issue associated with our stock price today is largely the pivot to electrification. If people want to see our backlog of new business grow, which they're now seeing, we expect that to continue to grow as we go forward. As I indicated, we're quoting a 1.5 billion to two thirds of that, is electrification. We've already increased our backlog already, year-over-year and greater penetration on the electrification side, from 15% to 35%. So we're delivering on everything that we said we're going to deliver on and the things that we can control. And we said when we did the MPG acquisition, that we were going to generate significant free cash flow in our business, we're doing just that. At the same time, it's allowing us to fund paying down the debt. It's allowing us to fund the advancement of our electrification portfolio, it's allowing us to fund our launches. And at the same time, we've been able to bring our CapEx as a percentage of sales down over the past several years, in addition to it. And yes, it is going to be up a little bit because we got 25 launches this year. But at the same time, we expect to convert a lot of our equipment over to electrification. But obviously, there's going to be some uniqueness in some of the applications that we have -- that are less pollution based. But I think that'd be my initial response to your question, Chris, I don't know if there's anything else you want to add to what I just commented on.
Chris May: Ryan, your observation on our cash flow generating power. If you look back over the last five years, our conversion of EBITDA to cash flow was about 20%, maybe five years ago, it's driving into the 40%, 50% range at this point. And that's a concentrated effort by this team, as David mentioned, to manage our CapEx, utilize and maximize the use of our assets, reduce our interest cost, strengthen our balance sheet. And we're seeing that play out just I think, as we articulated over the last couple of years. As it relates to capital allocation and electrification evaluation, I think David's comments on those up nicely, will continue to drive our backlog of electrification, we'll continue to have a nice balanced capital allocation and continue to stay focused on derisking our balance sheet, and also looking to grow where we can. So I think that's a pause there and turn it back, if you have any other questions.
Ryan Brinkman: That's helpful. Thanks. Yes. Just lastly, specifically curious what you've planned for GM production in North America. I think they gave like a 25% to 30%, global growth. I don't think they broke that down by region, but obviously they're looking for -- they're very optimistic. Not all the suppliers have slowed, that they're just curious what your revenue guidance assumes there. Thanks.
Chris May: Yes. And this is Chris. Look, our revenue guidance, you can see what we assume at the macro level for that in terms of T platforms, we typically don't articulate our views on that, obviously, the largest GM platform we supply would be the full size truck platform. What IHS estimates are there. We're close to that at the higher end of the ranges, we're probably a little bit more tepid, more bullish than that, but we're close to IHS in terms of how we think about their large platform.
Operator: And our next question today comes from Joseph Spak with RBC Capital Markets.
Joseph Spak: Maybe just to follow up on that. And going back to John's question as well on production. I mean, your growth, your revenue growth that you're calling for, especially if you sort of back out the metals market seems to be below not only what, maybe people are looking for in North America broadly, but even if we sort of look at, T1XX or just broadly North American Truck production. So is there some other element where we're missing there, or are you just sort of taking a fairly conservative dance here? It didn't sound like that specifically because you just mentioned you're of more in line with IHS in some of those programs.
Chris May: Yes, Joe, this is Chris. Good morning. Yes, let me take it, I think there's a couple things you need to think about. I'm assuming when you're making that comment in terms of growth, you're talking from 21 production levels of 13 million stepping in North American anyway, stepping up to 16.2 in terms of HIS. So, yes, as John's previous question, trying to articulate we're below IHS at a macro level, I would argue that's a little bit conservative there. When you think about our business, you have to think about really that trajectory of our sales, not just from '21 to '22. But you actually have to go back to 2020. And why do I say that? If you think about North America, production in 2020, was 13 million units, and 2021, it was 13 million units. Yet, you can exclude metal from my commentary here, our sales X metal grew. Why is it because the platforms that we support, think a full size trucks and otherwise had an outsize proportion of growth in '21 versus '20. So some of that year-over-year growth in terms of absolute volumes you're seeing is really over a two year span. So as we step into 2022, some of the full size platforms that we supply, are not experiencing that same level of year-over-year growth, because they started to capture that in 2021, where we're seeing that growth now is back on our crossover vehicle platforms to a much lesser extent into our passenger priority component elements inside of our business, which are tracking more with those type of growth elements. And then, if you look at the balance of our business, a little bit flat in China and Europe probably similar to North America. Hopefully that helps articulated, but you really have to look at over how this volume stepped up and the sub platforms over the last two years.
Joseph Spak: Yes, I mean, it's helpful. I mean, maybe we could try to take this offline. But when I look at least the latest IHS looks like the T1 program is still up like little low double digits. So that I think that's what's maybe causing some confusion but we could follow up. I guess the other question is just sort of on, inflation and it that's obviously sort of hitting you. Now, how do we sort of think about that more mid-term? Is there more you could do to offset what seems to be, clearly a more inflationary environment, not just on materials, which might fluctuate, but labor, it's such -- logistics, et cetera.
Chris May: Yes, Joe, obviously, that's a very hot topic, not only for us, but the entire industry in almost every industry, quite frankly. But if you think about some of our core strengths as a company, our operating system on productivity is driving focus to mitigate inflationary factors outside of that purchase component elements. So automation, throughput optimization, things of this nature, are helping to contain some of the inflation impact that we experienced on labor in particular, for example, entry level wages, or inflation that would creep through indirect things that we buy, such as tooling and utilities. So that's a critical factor to keeping some of that inflation at bay.
Joseph Spak: Okay. Last real quick, have you thus far seen any impact from the issue at the Canadian border?
David Dauch: John, this is David. Our operations have not been impacted directly, because of the impact of the Canadian border. Clearly, some of the OEM, our customer plants are adjusting their ships, or changing their line rates just because of some of the bumps that are taking place right now. Hopefully, level heads will prevail, and that'll subside here going forward, but it's just another variable thrown into everything else that we've been juggling, but to answer your direct question, no, we have not been impacted directly by the border constraint.
Operator: And our question today comes from Dan Levy with Credit Suisse.
Dan Levy: First, I want to just go into the contribution margin that you're assuming for 2022, the typical, pretty standard, you get 25% to 30%. But there, I think there are some moving parts in here. And I'm hoping you can just disaggregate those if possible. I mean, you're talking about more growth from crossovers, that's generally going to be lower contribution margin, but then I'm wondering what the offset is, is it just that you had some inefficiencies in the system in '21, and those reversing '22? So maybe you could just unpack that contribution margin assumption? 
Chris May: Yes, at the peers level of our contribution margin, this is just on our product, volume changes. And so typically, we said look, it can range anywhere from 25% up to 35%. And of course, 35% would be much more heavily weighted on our full size truck applique And you've seen that at time-to-time, when our full size truck applications have been impacted. But the sort of absolute volume and mix net it all together, we have on our walk at the midpoints, around 29%. So what you have happening is sort of our new business backlog and attrition is probably rolling off a little bit at the lower part of that our semiconductor sales recovery is right in line with the sales mix that we estimate was lost in 2021. And there is some full size truck elements associated with it. It's predominantly a little more weighted towards crossovers. Yes. That's why you sort of see that below the 30% range in terms of contribution margin, and then they all have their volume and mix also has a balance of some full size truck, but also some of our crossover vehicles. So that's why you see this sort of kind of resonating on a contribution margin basis, sort of near that just below the midpoint of our typical contribution margins. Hopefully that helps.
Dan Levy: Okay. And then just as far as maybe, inefficiencies or trapped labor beyond just, I see your guiding to cost inflation of 40 million. What did you have an aggregate in 2021? For inefficiencies trapped labor premium freight? And what are you assuming for 22?
Chris May: Yes, look, I think David mentioned, in his prepared remarks, you know, our ability to sort of navigate these challenges, operationally, the team has done a fantastic job. Think of premium freight, for example, which I know several companies are getting hit pretty significantly through the course of 2021. We were maybe a couple million dollars a quarter. And we'll still have some of that here in 2022, a little bit of that may go away as we continue to refine our operations and some of those disruptions, especially that we saw sort of the mid part of '21 go away. So some of that is a little bit included in our productivity, to be frank. In terms of labor and things like that, the point we face there is inflationary pressures, not necessarily cost optimization pressures, because our intense focus has been on optimizing our factories through the course of 2021 and trying to navigate these disruptions from a production standpoint.
Dan Levy: Okay, cool. And then the second question is just on the backlog. So, a., usually, this is a gross backlog, you know, maybe you can just give us some indication of actually what it is on a net basis. And then any color on that 35% Electric mix, what the composition of that is between dried units sub-assemblies, et cetera. Thank you.
Chris May: Yes. And this is Chris, again, on the new business backlog is gross 175. We also disclose our attrition is 100 million. So you should think of those sort of combined, so net, plus 75 million, going from '21 into 2022. And typically, each year, we have attrition, somewhere between $100 million to $200 million, our product in 2022 has to see right around 100 million. So it's sort of at the lower end of that range. And as a relates to electrification backlog mix, you know, think about the announcements that we have made through the course of this past year 18 months right wins with Neil and General Motors/Hummer on the component side. We are launching dried units with companies such as REE is also our European manufacturer. We've yet to disclose the name on them, it will be a big drive unit when and also tried units that we've been in China. So it's a really nice healthy mix across our entire product suite, and many, many different customers.
Operator:  Today's next question comes from Brian Johnson of Barclays.
Brian Johnson: I just kind of a follow on to that. Just to get more specific on that 35% Electric slice of the pie. When I think about the legacy metal dying businesses heavily involved in producing parts for transmissions and combustion engines. To what extent is some of this backlog coming in not necessarily to the edrive, she talk about but into emotor or other egearing components that can utilize your metal dime footprints.
David Dauch: Brian, this is David, clearly, a lot of our equipment can be converted over from making, traditional forged mints and yours for high point type applications to more vehicle type applications that are more utilized from above standpoint. So we're seeing wins and opportunities on the gear side and shaft side of the business. So we're very happy with what we're seeing there. We're also as Chris just commented earlier, we've had a number of differential awards that plays right into our metal forming business. In regards to their gear capability and then our overall machining capability, the Assembly capability as a company. So we're still seeing growth within our traditional products on the metal forming side, especially as the market starting to consolidate even further. But we're also positioned ourselves and seeing an experience in realizing growth on the electrification side of the metal forming business.
Brian Johnson: I want to pick up on the first part of the last thing you said, which is consolidation. So over in the truck engine space, Cummins is benefiting from consolidation of engine platforms and outsourcing. Are you seeing a similar dynamic in internal combustion engines? In terms of in particular, the metal line, product line and competitors dropping out moving on to other segments and leaving more business for you?
David Dauch: Yes, the answer is yes. Clearly, there's some of our competitors, or some of the peers in the auto space have indicated that they want order of some of the power train or the driveline technologies. We don't have a problem being a consolidator in that space, we started that event with the MPE activity and that benefited us greatly. We know how to do it, we know how to realize the integration synergies. At the same time, our buying power continues to get stronger there when it comes to steel, especially in a volatile market, like we're dealing with here today. So we do see opportunities for further consolidation in that space. And obviously, we need to balance that with strengthen our balance sheet and then also making the necessary investments in R&D to support the pivot to electrification.
Operator: Yes, sir. Ladies and gentlemen, this concludes question-and-answer session. I'd like to turn the conference back over to Mr. Lim for any closing remarks.
David Lim: Thank you, Brian, for the last question there. And thank you, Rocco. And we think all of you who have participated on this call and appreciate your interest in AMM, we certainly look forward to talking with you in the future. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you all for participating in today's conference. You may now disconnect your lines and have a wonderful day.